Operator: Good day and welcome to today's Symantec's fourth quarter 2009 conference call. Today's call is being recorded. And at this time I would like to turn the call over to Ms. Helyn Corcos, Vice President of Investor Relations.
Helyn Corcos: Good afternoon and thank you for joining our call to discuss fourth quarter and full year 2009 financial results. With me today are Enrique Salem, Symantec's President and Chief Executive Officer, and James Beer, Symantec's Executive Vice President and Chief Financial Officer. In a moment I will turn the call over to Enrique. He will start with a few comments about our quarterly activities and results, James will then provide financial and operational details, as well as review our guidance as outlined in the press release. Then Enrique will wrap it up with comments about our fiscal year 2010 focus areas. This will be followed by a question and answer session. Today's call is being recorded and will be available for replay on Symantec's Investor Relations Web site at symantec.com\invest. A copy of today's press release and supplemental information are available on our Web site and a copy of today's prepared remarks will be available on the Investor Relations Web site shortly after the call is completed. Before we begin, I’d like to remind you that our June 2008 period results included 14 weeks of activity versus the normal 13 weeks that the June 2009 quarter will have. I’d like to take a moment to review the specific financial details of the extra week. Non-GAAP revenue for the June 2008 quarter included approximately $75.0 million of a one-time benefit and non-GAAP earnings per share included approximately $0.03 of a one-time benefit generated from the extra week. Non-GAAP deferred revenue included a one-time negative impact of approximately $5.0 million from the extra week. We will exclude the impact of the extra week when comparing our 2009 guidance and results to the June 2008 results. Next, we will review our non-GAAP financial results focusing on constant currency growth rates unless otherwise stated. For the March 2009 quarter the actual weighted average exchange rate was $1.30 per Euro and the end of period rate was $1.34 per Euro, compared to our guided rate of $1.32 per Euro. For the March 2008 quarter, the actual weighted average rate was $1.50 per Euro and the end of period rate was $1.58 per Euro. For revenue and operating expense purposes, current and comparative prior period results for entities reporting in currencies other than the U.S. dollar are converted into U.S. dollars at the actual exchange rates in effect during the respective periods. For deferred revenue, results are converted into U.S. dollars at the actual exchange rate in effect at the end of the period. We have included a summary and reconciliation table of the year-over-year growth rates in our press release tables and in our supplemental information. Given the rapidly moving exchange rate environment, I’d like to remind everyone to continue to apply the rules of thumb that we have provided as a guide to the impact of currency fluctuations on our financial metrics. For every U.S. cent movement versus the Euro, revenue would be impacted by approximately $4.5 million and deferred revenue would be impacted by approximately $7.0 million. In addition, for every $0.05 U.S. movement versus the Euro, non-GAAP earnings per share would be impacted by approximately $0.01. It is important to note however, that these rules of thumb will move around based on the actual currency fluctuations and the mix of our revenues and expenses. Moving on, some of the information discussed on this call, including our projections regarding revenue, operating results, deferred revenue, cash flow from operations, amortization of acquisition-related intangibles and stock-based compensation, for the coming quarter contain forward-looking statements. These statements involve risks and uncertainties that may cause actual results to differ materially from those set forth in these statements. Additional information concerning these risks and uncertainties can be found in the company’s most recent periodic reports filed with the U.S. Securities and Exchange Commission. Symantec assumes no obligation to update any forward-looking statements. In addition to reporting financial results in accordance with generally accepted accounting principles, or GAAP, Symantec reports non-GAAP financial results. Investors are encouraged to review the reconciliation of these non-GAAP financial measures to the most directly comparable GAAP results, which can be found in the press release and on our web site. And now, I would like to introduce our new CEO, Mr. Enrique Salem.
Enrique Salem: Good afternoon everyone. This quarter marks a solid close to fiscal year 2009. The breadth and depth of our portfolio contributed to the solid results despite the current macroeconomic environment and currency headwinds during the second half of the year. Results for the quarter were driven by strength in enterprise backup, storage management, data loss prevention and consumer. Our strong non-GAAP earnings per share are a result of eliminating unnecessary costs and shifting our spending to areas with the greatest returns. We continue to generate substantial cash flow from operations and strong deferred revenue. Now, I’d like to highlight a few key items of our fiscal fourth quarter. In our consumer segment, despite the declining PC units, we continued to strengthen our leadership position as highly publicized threats such as Conficker and Trojan.H have increased consumers’ awareness of the need for security software to protect their personal data. We continue to expand our category leadership by bringing innovative products and services to market. In the March quarter, we shipped Norton 360 version 3.0 that has an ultra-light footprint and fast performance that is the hallmark of our 2009 product line. Norton 360 has already won PC Magazine and Computer Shopper’s Editors Choice Awards. Furthermore, Symantec’s Norton line of products have received top scores from several of the industry’s preeminent, independent testing bodies. In the most recent review from AV-Comparatives, Symantec was the only vendor to be awarded top ratings in all three tested categories: detection; false positives; and performance . Additionally, Symantec has received Virus Bulletin’s  VB 100 Award forty-three consecutive times dating back to 1999. No other competitor has had our record. This record underscores Symantec’s ability to provide the best protection against malware to our customers, something that no other competitor can match. Customer feedback has shown that satisfaction across all areas of the product experience are at an all time high, particularly in the area of performance. Despite the market’s emphasis on our relationship with HP, HP represents only one of numerous OEM relationships we have around the world. We have meaningful relationships with HP, Dell, Acer, including Gateway and Packard Bell, Lenovo, Fujitsu, Toshiba, Asus, and Sony, among many others. We continue to aggressively pursue valuable OEM deals, recently winning multiple competitive agreements. We will be shipping on Dell’s global small business line and also their gaming line. We are renewing our relationship with Lenovo’s ThinkPad brand and have also extended our agreement with Acer. In the netbook segment our 2009 products continue to be an attractive choice. In addition to the Asus agreement announced last quarter, we signed contracts to ship NIS on Dell and HP Minis this quarter. Although the price of PCs have steadily fallen over the past decade, security software prices have not. This is due to the fact that it not the cost of the underlying PC but the value of the information and content on the PC that matters. Norton Online Backup, which shipped during the quarter, is giving us additional and unique traction with OEMs. We have already signed an agreement to ship a 60-day trial of Norton Online Backup with Sony in Europe. Norton Online Backup also creates a new opportunity to partner with ISPs. We have signed an agreement to provide backup for a major ISP in North America. We currently host over 30 petabytes of customers' data and have more than 7.0 million active customers. That’s 7 x more customers than our nearest competitor. Our Norton Online Backup product allows us to expand beyond traditional security and introduce more consumers to our trusted Norton brand. Next, in our enterprise business, we are seeing the results from our solutions ability to simplify heterogeneous environments and reduce spend by commoditizing infrastructure. In our data center business, the March quarter saw the first results from our Stop Buying Storage! marketing campaign. There are four key opportunities that our customers are benefiting from. Those are: one, storage resource management; two, thin provisioning; three, data de-duplication; and four, intelligent archiving. Our software enables customers to decrease their hardware spend by increasing utilization rates across multiple hardware platforms. The strong sales momentum created by the Stop Buying Storage!' marketing campaign accelerated throughout the quarter, with the teams tracking over 250 specific new enterprise opportunities. Additionally, we are extending our lead in thin provisioning by securing the commitments of the top storage array vendors to support our Storage Foundation Thin Provisioning API’s, including new solutions with Hitachi Data Systems and 3Par Data. Our data center backup and de-duplication products posted strong year-over-year growth. NetBackup, the number one backup solution for the enterprise, continued its strong performance as the market moves to next generation data protection. Our de-duplication product, Puredisk, in particular, performed well during the quarter. Puredisk can reduce total storage required for disk-based backups by over 50 x. Earlier this week, we have started shipping Symantec Endpoint Protection Small Business Edition. We expect to improve performance in the mid-market through this product. Symantec Endpoint Protection Small Business Edition provides comprehensive protection with simple management capabilities and pre-configured settings that allow small businesses to get up and running quickly. We are working with our partners to make sure that they are fully educated on the benefits of the new product. We believe that this release will enable Symantec Endpoint Protection to extend its success in the large enterprise to the SMB space. Also, in our enterprise security products group, data loss prevention continued its fifth quarter of double-digit year-over-year revenue growth. Our customers tell us that our products are two years ahead of our competitors’ offerings. Studies have shown that in the market of uncertain job security, data loss prevention has become even more relevant for our customers. Additionally, we are now shipping the Altiris Client Management Suite 7.0 and Server Management Suite 7.0. Both management suites utilize workflow technology to provide the necessary automation and integration from a central location to help our customers reduce the time it takes to manage their assets, improve security and reduce operational costs. Both suites are built on the Symantec Management Platform which provides integration across Symantec’s product portfolio and third-party solutions. The workflow engine facilitates integration into the customers’ environment and enables our partners to sell more value-added services. Finally, this quarter, Dell began shipping every server with their next generation management console as a native solution that is built on Symantec’s Management Platform. This presents an opportunity to upsell our new Altiris suite as well as many Symantec products that will simply snap in to the platform, including our Backup Exec Information Manager and our Backup Exec System Recovery. Dell Management Console ships with every server Dell sells, further validating Symantec’s strength of technology and architecture. I’ll now turn the call over to James to provide you the financial details before I discuss my focus areas as I look forward to fiscal year 2010.
James Beer: The fourth quarter wrapped up a year in which we delivered record non-GAAP revenue of over $6.2 billion and record non-GAAP earnings per share of $1.57 cents. During fiscal year 2009, we grew earnings per share 24%, increased operating income by 19%, and expanded our non-GAAP operating margin by 360 basis points to 30.2%. These results are reflective of the substantial progress we are making in our efforts to improve the efficiency and effectiveness of our cost structure. Our balance sheet continues to be strong, providing us with significant financial flexibility. We exited the March quarter with nearly $2.0 billion of cash on hand reflecting the fact that during the past six months, even during a challenging economic environment, we generated more than $1.0 billion of cash flow from operations. Now, let me get into the details of the fourth quarter. Symantec achieved GAAP revenue of $1.47 billion. Non-GAAP revenue grew 2% in constant currency terms versus the March 2008 period, to $1.49 billion. It’s important to note that the U.S. dollar strengthened 13% against other currencies compared to the year ago period, reducing our international revenue as measured in U.S. dollars. As a result, foreign currency movements negatively impacted non-GAAP revenue by 6 percentage points year-over-year. Had currency effects remained at our guided rate for the March quarter, revenue would have reached $1.495 billion, placing it within our guided range. We generated a total of 369 transactions valued at more than $300,000 each and 85 transactions worth more than $1.0 million during the March quarter as customers adjusted their IT spending as a result of the challenging nature of the current macroeconomic environment. While this was the primary reason for fewer large transactions versus last year and lighter than expected revenue in the quarter, we did see a greater proportion of our sales being recorded on the balance sheet rather than the income statement, reflecting the emphasis during the quarter towards customers renewing maintenance as opposed to buying new licenses. Looking at our geographic results, international non-GAAP revenue of $747.0 million grew 3% in constant currency versus the year ago period, and accounted for 50% of total non-GAAP revenue. Asia Pacific Japan was up 4% in constant currency while North America and EMEA grew 1% and 2% respectively, on a currency-adjusted basis. Now, I’d like to move on to our non-GAAP revenue by segment. The Consumer business generated revenue of $443.0 million, up 4% in constant currency, versus the March 2008 quarter. Electronic distribution represented 80% of consumer revenue and grew 7% as compared to March 2008, driven primarily by strong activity from our subscription renewals, OEM partnerships and online channels. Norton 360 accounted for 30% of consumer revenue and grew more than 65% versus the year-ago period. The Storage and Server Management group generated revenue of $539.0 million, up 1% in constant currency, compared to the March 2008 results, driven by strong enterprise backup and storage management performance. We’re particularly pleased with the customer reaction to our sales campaign about Stop Buying Storage! It is generating significant business for us given that IT buyers are looking for a clear and quick return on new investments in this economic environment. Our Security and Compliance group generated revenue of $370.0 million. The segment declined 9% in constant currency terms. While our mid-market security business continued to be weak, we are encouraged by the release of our new endpoint products that targets this market sector. Our data loss prevention solutions continue to be in high demand as companies address the increasingly important issue of confidential information being misused by employees. Our Services group, which included a full quarter of MessageLabs results, generated revenue of $135.0 million, up 41% in constant currency year-over-year, and represented 9% of our total revenue. Turning now to margins, non-GAAP gross margin was 85.7% for the March 2009 quarter, in line with the year-ago quarter. Our continuing focus on cost management increased non-GAAP operating margins for the March quarter to 30.5%, up 270 basis points year-over-year. We recorded a GAAP net loss of $249.0 million for the March 2009 quarter as a result of the finalization of the goodwill write down calculation that was previously estimated in our December quarter results. This drove a March quarter charge of approximately $400.0 million. Non-GAAP net income was $318.0 million, up 3%, versus the March 2008 quarter. The March quarter’s fully diluted GAAP loss per share equated to $0.30. Non-GAAP fully diluted earnings per share for the quarter were $0.38, up 6% from the March 2008 quarter, and $0.03 above the high end of our guided range. During the March quarter, we spent $100.0 million to repurchase 7.0 million shares at an average price of $13.84. In total, during fiscal year 2009, we returned $700.0 million to shareholders by repurchasing 42.0 million shares at an average price of $16.53. Our net accounts receivable balance at the end of the March 2009 quarter was $837.0 million. Days sales outstanding, or DSO, was 51 days. Cash flow from operating activities for the March quarter was $607.0 million, primarily due to strong collections and expense controls. We generated operating cash flow of approximately $1.67 billion for the fiscal year. GAAP deferred revenue at the end of March 2009 was approximately $3.06 billion. Non-GAAP deferred revenue reached $3.08 billion, up 6% in constant currency, as compared to March 2008. Foreign currency movements positively impacted non-GAAP deferred revenue versus our guidance. Had foreign exchange remained at the guided rate for the quarter, deferred revenue would have been lower at $3.07 billion, but at the upper end of our guided range. Sequentially, deferred revenue grew by $119.0 million, or by 6% in constant currency. Our financial results will continue to benefit from our strong deferred revenue balance during fiscal year 2010. Now, I’d like to spend a few minutes discussing our guidance for the June 2009 quarter. As a reminder, the year ago June quarter included an extra week of activity which we will be stripping out of our comparative commentary as Helyn outlined during her introductory comments. In addition, we are assuming an exchange rate of $1.30 per Euro for the June 2009 quarter versus the $1.56 per Euro we experienced during the June 2008 quarter, equivalent to a 17% currency headwind. Our guidance also assumes a common stock equivalents total for the quarter of approximately 830.0 million shares and an effective tax rate of 30.5%. For the June 2009 quarter, we expect GAAP revenue to be in the range of $1.44 to $1.50 billion. Non-GAAP revenue is estimated to be in the range of $1.45 to $1.51 billion, compared to revenue of $1.58 billion after adjusting for the extra week during the June 2008 quarter. At the midpoint of the guided range, we expect revenue growth of approximately 1% in constant currency terms. GAAP earnings per share are forecasted to be in the range of between $0.09 and $0.11. The FASB Staff Position 14-1 change in accounting for convertible debt will increase our interest expense during fiscal year 2010 by a total of approximately $100.0 million, or by about $25.0 million per quarter. This accounting change does not affect cash flow. Given that this is a non-cash expense, we will be excluding it from our non-GAAP results. Non-GAAP earnings per share are estimated to be between $0.34 and $0.36 as compared to $0.37 after adjusting for the benefit of the extra week in June 2008. At the midpoint of the guided range we expect earnings per share growth of approximately 9% in constant currency. At the end of the June quarter we expect GAAP deferred revenue to be between $2.84 and $2.94 billion. We expect non-GAAP deferred revenue to be between $2.85 billion and $2.95 billion as compared to $3.03 billion after adjusting for the negative impact of the extra week in June 2008. At the midpoint of the guided range, we expect deferred revenue to decline 5% sequentially in constant currency, in line with historical seasonal patterns. We expect about 64%, or approximately $955.0 million, of our June quarter revenue to come from the balance sheet. In closing, the focus in FY2010 will be on balancing investment in key growth areas of the business with effective cost management in order to position the company for long-term success. And now, I’ll turn it back to Enrique.
Enrique Salem: Now five weeks into my new leadership role, I’d like to take a moment to discuss my plans for the new fiscal year. Looking back during John Thompson’s ten years as CEO, Symantec grew annual revenue to $6.0 billion. We remain focused on our vision to secure and manage the world’s information. However, I have a slightly different approach to managing the $6.0 billion business that I have inherited. I plan to use the scale that John built and focus our investments to increase internal innovation, to improve quality, and further integrate our solutions. We will extend our market leadership position in security, backup, and storage management. On the product side, I am pleased with our leadership and performance in our storage management and consumer businesses. For fiscal year 2010, I have established three key product focus areas for our team: first, responding to customer needs in enterprise security; second, capitalizing on the migration to next generation data protection; and third, offering our products through the software-as-a-service model. In enterprise security, in addition to the Symantec Endpoint Protection Small Business Edition which allows us to better serve the mid-market, we are now shipping Symantec Protection Suites 3.0 in small business and enterprise editions. The suite creates an endpoint and messaging environment that is secure against today's complex malware, data loss and spam threats, and is quickly recoverable in the event of a failure, thereby controlling costs and managing risk. Moreover, the suites are easy to deploy and simple to use, saving customers time and costs associated with securing their IT environment. The most recent Conficker virus provides a perfect illustration of the core Symantec vision – the unification of security and management. We can enable our customers to identify their systems that need to be patched, deliver the patches, update their SEP signatures, and validate that they are indeed secure using our compliance tools. Additionally, we can manage the frequency of backups to protect critical data in times of high threat levels. We are the only vendor who can bring this complete offering to the market. Second, we will solidify our leadership in the data protection business as we transition and help our customers move to next generation technologies which include disk-based backup, virtualization support, continuous data protection, and de-duplication. We expect to sell more of these next generation technologies as NetBackup 5.0 customers on maintenance continue to transition to NetBackup 6.5 which enables more disk-based options. Additionally, in February, we announced that backup and archiving will be combined under the same management. NetBackup, Backup Exec, and Enterprise Vault are the clear market leaders in the enterprise and mid-market backup and the archiving market segments, respectively. We will leverage our technology strength in backup and archiving to simplify administration and reduce costs for our customers. Our Backup Exec product will have built in de-duplication and archiving option powered by the Enterprise Vault technology, which is expected to ship later this year. Software-as-a-Service is our third product focus area. We acquired MessageLabs, the leader in SaaS messaging security in November 2008. Our integration is going smoothly, and we plan to utilize our existing technology and the MessageLabs platform to create new SaaS and hybrid offerings to include archiving, DLP, backup, and many other services. Our goal is to offer customers the flexibility to manage their business using online services, onsite software, or hybrid onsite and online solutions. This is especially attractive in the current macroeconomic environment as SaaS is a delivery method that enables many companies to improve IT spend. In closing, I believe that we have the leading position in key markets, and customers see the value of our product portfolio and the benefits of our products and services. In addition to our focus areas, we will not lose sight of improving execution in the forms of maintaining our leading market share, improving customer and partner loyalty, and becoming more operationally efficient. And with that, I’ll turn the call back to Helyn so that she can take your questions.
Helyn Corcos: While Tom is polling for questions, I’d like to update you on a few upcoming events. First, Symantec will be hosting our financial analyst day on June 11th in San Francisco. We encourage you to register for the event by May 22nd in order to capture the discounted hotel rate. Second, we will be presenting at the JP Morgan conference on May 19th. And finally, we will be reporting our fiscal first quarter results on July 29th, 2009. For a complete list of all of the investor-related events, please visit our events calendar on the Investor Relations Web site. We are ready for the first question.
Operator: (Operator Instructions) Your first question comes from Sarah Friar - Goldman Sachs.
Sarah Friar: If I could turn to the security and compliance division, clearly that looks a little weaker than the rest. Enrique, aside from mid-market weakness, what else might be going on in there and is there any concern on headcount reductions actually starting to weigh on things like end points, pricing, etc?
Enrique Salem: I think when I look at that segment I would say there's a couple of things going there. One, you mentioned mid-market, and we just shipped the new products on Monday, which I think will help us there. I think the second area is we do have the currency headwind that Helyn outlined in the beginning but in the high end of the market, we are continuing to see the same close rate that we had seen in previous quarters and I do believe that the demand for DLP, which is continuing to show double-digit growth over the last five quarters, I expect that to continue because that's a product that our customers will continue to say is very important to what they're doing, even in this tougher economic environment. But I would highlight the currency headwinds and the mid-market as the two areas that I think have weighed on that segment.
Sarah Friar: And James, just a follow-up on the margin side. Your guidance looks like you're assuming margins will contract sequentially and even year-over-year. What would be the key driver of that? Are there any incremental costs that happen in June that we should be thinking about or is that just trying to allow for currency and some conservatism?
James Beer: Obviously, year-over-year the cost base now includes the companies that we have acquired within the back half of the year, so Message Labs and PC Tools being the primary items there. So sequentially for June versus March we go back to our full accrual, if you will, on commissions so there's an implied increase in the forecast for that line versus what we experienced in the March quarter, in which we came in lighter than we had expected. So those are the primary drivers year-over-year and quarter-over-quarter.
Sarah Friar: So you're still thinking about a cost base that is being kept a tight rein on, given the headcount reduction and . . .
James Beer: Oh, I think these results are quite reflection of the progress that we're making on the cost side of the ledger and I'm very pleased by that and we're absolutely continuing our focus there, to be able to build margin points 360 points year-over-year. We're very pleased with that. That's really more than we had initially expected we would be able to achieve when we started out this journey in FY2009 and it's something that's just a part of the way we do business now at Symantec. I would not see us changing our emphasis here at all.
Operator: Your next question comes from Heather Bellini – UBS.
Heather Bellini: I was wondering if I could follow-up on Sarah's question about operating margins for a moment. She was talking about Q1. I'm kind of interested in full year, to the extent that you can share with us anything there, because in the past you did a great job expanding margin this year in fiscal 2009. You've been talking about 100 basis points a year. Given the currency headwind that you face, in particular in the first half of fiscal 2010 is that possible on a reported basis, is there anything you can tell us there? And then the other would be, just looking at gross margin, can you give us an idea of how should we thinking about gross margins trending over the course of fiscal 2010 as well.
James Beer: In terms of the operating margins goals, we are always talking about 100 basis points a year as being a long-term target, and clearly we over-performed that in fiscal 2009, which I think was very good, particularly given the constraints around the top line. Now we have also said that obviously, just mathematically, it is easier to expand operating margins in an environment where you have a robust top line, and in this macroeconomic environment that is going to be more of a challenge in any one particular year. The other thing I would say though, is something that Enrique was focusing on in his remarks in that we are really looking to try to find that right blend between investing in the areas of our business where we think we can generate real growth and at the same time keeping a very sharp focus on cost effectiveness and efficiency. So it will be a blend of those themes as we proceed through fiscal 2010 but we will be working hard on margins just as we did in this past year. As to gross margins, we have made some nice improvements there in the last couple of years as well and I wouldn't expect there to be any particular movements one way or another. The biggest drivers of gross margin for us are support costs and services cost. And in the services arena we have made nice progress in terms of margins in the last two years. Obviously that rate of improvement becomes more difficult as the years go by.
Operator: Your next question comes from Kash Rangan - Bank of America.
Kash Rangan: One question for you, Enrique. On the storage side you indicated that the Stop Buying Storage! message was starting to resonate and produce results. So should we sort of infer that the trajectory that you started out with this quarter, that gets better? In other words, the growth rate could potentially improve as a result of that? Maybe you can talk to that. And also, James, a question for you. As Message Labs gets reported in the services line item, how does that change the margin profile of the services business going forward?
Enrique Salem: When you think about the Stop Buying Storage! marketing campaign, what's happening is customers are coming to us and saying they absolutely are trying to manage their capital expenditures and one of the best areas for them to target is the area of storage. And so I think what you can expect is our customers try to take advantage of some of the concepts like intelligent archiving and provisioning, storage resource management, and data de-duplication, that that will benefit the various lines because as you look at the functionality I just mentioned, some of that is delivered by our NetBackup tier disc capability, some of it is delivered by our enterprise product and so we see that the Stop Buying Storage! campaign will allow those products to continue to perform at their current levels, given this tougher environment. And so I think that campaign is what's going to help us be able continue to drive the performance that we have seen over the last several quarters.
James Beer: And as to the impact of Message Labs on the services margins, I would expect them to improve the margins in that segment. You may recall, we have had a lot of focus in the last couple of years on improving margins in the services segment anyway. But Message Labs, as we increase scale there, which is obviously very much our intent, I think there will be the opportunity to expand its own operating margin. So I would look for a continuing improving trajectory of services margins.
Operator: Your next question comes from Adam Holt - Morgan Stanley.
Adam Holt: I had a couple of questions about the consumer business. I was hoping maybe you could talk about some of the key drivers of that business. Did 360 improve as a percentage of total bookings in the quarter, were average selling prices up in the quarter, and as you think about the next couple of quarters for the consumer business, you noted that the PC market had been weak, which it obviously was. Should we be thinking that a recovery in the PC market is key to getting growth in that business going forward or do you think that business will grow as you continue to expand some the OEM relationships and drive some of the new products.
Enrique Salem: When you look at Norton 360, we are definitely continuing to see the mix shift towards 360, and you know, we started out very quickly with 360 moving up but that has moderated a little bit because customers who are using Norton Internet Security are obviously very happy with that product and so while we continue to see the move towards 360, that mix rate has slowed down just a little bit. We do benefit from the higher price point of 360 over NIS. Now to your question of the PC unit shipment, I think what we're doing is we're continuing to add other capabilities. I highlighted today that we have now started shipping Norton Online Backup and so even with the kind of slower number of PC units being shipped, I think we can maintain where we are today and even can see a positive, given that we are seeing the mix shift and the addition of the new offering. My sense, though, is the other thing that's benefitting us right now and just talking to our consumer team, is given the reception of the new products, meaning Norton Internet Security with the very fast performance and the great customer experience and now Norton 360 version 3, while we don't break out the renewal rates, we are seeing some improvement in renewals as a result of the great products that we have put into the marketplace. And that is also helping us attract some of the new OEMs that I highlighted in the call because people are looking for that improved customer experience.
Operator: Your next question comes from Philip Winslow - Credit Suisse.
Philip Winslow: I just wanted to touch on the storage business. When you look at just the way the economic impact is across your businesses, I wondered if you could comment on storage. [inaudible] segment, just curious what you're seeing there when you look across, particularly across your two main products, you know, at the high end of NetBackup and then Backup Exec.
Enrique Salem: We are seeing continued strength in both NetBackup and Storage Management. What's great is given that data volumes continue to grow at a very rapid rate, that's actually benefitting the NetBackup product line and we saw that perform very well through the entire fiscal year. When we look at the Storage Management side, given the Stop Buying Storage! campaign, what we've actually seen is that product also continues to be a part of what customers are trying to do to improve storage utilization and basically help them get much better return on the storage they've already purchased. And so we do believe that both NetBackup and Storage Foundation, or Storage Management, will continue to do well.
Operator: Your next question comes from John Difucci - JP Morgan.
John Difucci: The first question is for James and then one for Enrique. James, you said the focus by customers was to renew maintenance contracts here, but when I look at it, it looks to me as if maintenance declined both sequentially and year-over-year. And what I'm doing is I'm looking at your supplemental and you give content subscription and maintenance and I take out services, consumer, and then I add back the non-GAAP, which is maintenance. I'm just curious, I guess what would maintenance have done sequentially, excluding foreign exchange, or am I doing something wrong here?
James Beer: Well, what I would say, well, we can get into more of the specifics perhaps offline, but what I would say here is that clearly you saw the security and compliance part of the business was where we saw a currency adjusted decline, 9% or so. Now clearly, that's not helpful to the maintenance volume necessarily, quarter-to-quarter. But stepping back from that, that's just one component of the enterprise business. I was very pleased with pricing around maintenance, and I was very pleased with renewal rates around maintenance. So those really are the important themes, whereas we did see absolutely less license, new sales, customers really pulling back from longer-term investments, if you will, in favor of the short-term needs.
John Difucci: What is the renewal rate about, for you?
James Beer: We don't quote the renewal rates, either for the consumer business or the enterprise business, but we are very pleased with where they are.
Enrique Salem: We're not seeing any change in renewal rates, quite frankly. And one of the questions that Sarah asked right at the beginning was around specifically is the unemployment having an impact on our total units. And so we're not seeing a change in renewal rates or that the unemployment rate is having an impact on the business.
John Difucci: And Enrique, a follow-up for you, when we look at these goodwill impairment breakdowns over the last couple of quarters, I'm just curious, is this going to have any influence on your acquisition strategy going forward? And I guess could you just state what your strategy is going to be?
Enrique Salem: I think if you look at it, I'm in no real rush to start doing acquisitions. Part of the focus that I've given the team, is you know, we have a tremendous engineering capability. I want to drive internal innovation. Now that doesn't mean that we will not do acquisitions. That's one of the advantages of having the cash flow direction and balance sheet that we do. But I'm going to stay focused inside the markets that we are in. I mean, we clearly have a big position in security, I want to look at opportunities to strengthen our position there. I want to look for opportunities in some of the next generation data protection, I want to look for opportunities in what we're doing around data categorization, and so as I look at the acquisition strategy, I'm in no rush to go do a lot of acquisitions. There may be some small things that strengthen our position in a few of those markets. And then longer term I'll look for what makes sense as far as continuing to drive growth into the company. But right now, we can afford to be patient.
John Difucci: Just one follow-up to that. Veritas, when it was independent, had a big push into what it called utility computing and now people are talking about it as if it—they are calling it cloud computing today. And they bought Adjacent and Jeriva and there seems to be a big push internally and we just don't hear about it as much anymore. Is that still a meaningful effort within Symantec or is that something that has sort of gone a little sideways?
Enrique Salem: I would say that the focus areas are software-as-a-service and not necessarily—what historically utility computing, which is maybe morphed in title, what we would do is we would see some of core Veritas products, board foundation, our new clustering VCS1 technology, as helping kind of build the infrastructure for utility computing and then we see delivering on top of that infrastructure our software-as-a-service capability. And so from our perspective the priorities and investment area is our security, next-generation data protection, and software-as-a-service.
Operator: Your next question comes from Daniel Ives – FBR Capital Markets.
Daniel Ives: Could you talk about the linearity in the quarter and maybe talk about what trends you're seeing in the month of April?
Enrique Salem: I think when you look at linearity, and we track close rates, we did some analysis on that and what we're seeing is consistency in the close rates, nothing new from a linearity perspective. On the enterprise business, on large enterprise business, it still tends to be a good percentage of the business comes in the last two weeks of the quarter. In our mid-market business it's steadier throughout the quarter. Our consumer business obviously, both a bookings and revenue recognition basis, is fairly consistent across the entire quarter. So we didn't see any real changes in the March quarter and we haven't seen anything so far in the June quarter. It just continues to be pretty consistent along the percentages. And we just finished the month of April and from the analysis James and I, it seems to be on track, similar to what we've seen in previous Aprils.
Operator: Your next question comes from Rob Owens - Pacific Crest Securities.
Rob Owens: Following on Daniels' question, with linearity on track, can you talk about where the surprises in the quarter that drove FX-adjusted revenue to the low end of guidance. Was it more of the maintenance rather than license or was there something else in there?
Enrique Salem: You're on track there because what we saw was a couple of things. Historically, in our business, we have seen longer-term deals, we've seen terms that are three-year deals and we saw that become folks buying what they need for the current year or the next 12 months, not necessarily pre-buying for years two and three. So I think that's one thing that we saw. And I do think that when you look at the overall business, I think given that we've now shipped the new mid-market product, I think that will definitely help because that's been an area we've been successful. With the large enterprise we have gotten a number of competitive wins but we have not had the same success in the mid-market. So the combination of shorter terms and I think we have continued to see, without having the new Symantec EndPoint Protection and the new suites, we haven't gotten the results that I would have liked in the mid-market. But I expect that to change now that we are with the new products.
Rob Owens: And the follow-on to that, so now that you are shipping the new mid-market product and the Protection Suite 3.0, when should that either stabilize the security business or once again grow the security business?
Enrique Salem: My expectation is we are ramping up our partners right now and so the partners are starting to understand the capabilities of the product, the simplicity of it. And my sense is, that given it shipped on Monday of this week, I would expect that you will start seeing the results from that capability probably in the September quarter. I will have a full quarter of having been in the channel. Because if we are putting it out at the beginning of this week, you probably want get it into the channel for the next several weeks.
James Beer: And just a follow-up on the first part of Enrique's answer, obviously we were pleased to be able to exceed, on an FX-adjusted basis even, the consensus estimate for deferred revenue, while we came in light on revenue versus consensus. So that's very much reinforcing this notion of more on the activity going to the balance sheet this quarter.
Operator: Your next question comes from Brent Thill - Citi Investment Research.
Brent Thill: Enrique, your operating margin performance has really outpaced the top line performance at the high level. Do you feel like you're re-shifting your focus back on top line growth and you'd rather trade off lower operating margins, or less operating margin expansion, to get that revenue growth coming back over the next couple of years?
Enrique Salem: When I think about it, James commented earlier, you know, our long-term goal is to drive 100 basis points of margin improvement. And we still see an opportunity to stay on track to do that. I think that this year, as I look at the combination of some of the investments that we need to make around the opportunities in consumer, security, in the enterprise, FAS, software-as-a-service, and also our next-generation data protection as customers move from a tape to disc-based backup, I think it's going to be important that we put some investments in those areas. I do continue to believe, though, that there are always opportunities for us to continue to manage our cost structure and so I think it will be a combination of yes, we will move dollars to the areas I just mentioned, but we will also continue to look for opportunities to reduce costs in other areas. So I don't want to back off in any way from our long-term goal of 100 basis points of margin improvement.
Brent Thill: We've seen other software companies achieve pretty good success with this suite-based approach. Can you just walk through what you're hoping to achieve and have you had history doing this historically or do you consider a brand new initiative?
Enrique Salem: The way I look at is historically we've been shipping a suite but I would call it a suite on malware protection. So we would ship EndPoint Security, mail-based, you know the mail server security, the gateway security, and what we're doing now is we're adding the other applications that we have. So we've had market leading e-mail security for anti-spam protection. We acquired a small company called MI5 that adds to our Web security capability. And so what we're doing is in an effort to serve the mid-market and the SMB segments better, we believe that bringing these products together in an integrated suite, we are extending the suites we had previously, is the right way to go. So the suites are new from a capability perspective but we've been delivering a suite that was focused on one particular type of product line. So from our perspective, it's going to be something that allows us just to go right back into our channel partners and go leverage our field organization just to have a new set of capabilities that I will have a positive impact on our security business. And I expect to start seeing that, as I mentioned, in the September quarter.
Operator: Your next question comes from Todd Raker - Deutsche Bank.
Todd Raker: I just wanted to dig in on the consumer business a little bit further. Can you give us any sense, I know you talked about the new OEM partnerships coming on stream, but can you give us any sense in terms of where you think you stand on OEM boxes going out the door today versus a year ago? And can you also walk us through what happens to an OEM relationship when it does not renew? What happens to that legacy customer base from an economic perspective?
Enrique Salem: Let me take the second part first. Every relationship is structured differently, and so it depends on what we are doing. So for example, some of our agreements are what I would call a placement fee and then we get everything into the future. Some deals are structured as rev shares and they have tails post-termination. So it really depends on the overall structure of that OEM agreement. Now to your first question, we are absolutely—you heard what we just talked about, we won a number of OEM deals in the last quarter. I mean, working with the ThinkPad brand, working with some extensions with Dell around SMB and their gaming platforms and so we definitely see that the numbers of units in the OEM market that we are associated with is definitely up. The other thing that I commented on, which I think is important, we were already on the Asus netbook and then we're now on both the Dell and HP Minis. And so we feel that on an overall basis the numbers of units shipping with our product is moving up right now.
Operator: Your next question comes from Walter Pritchard - Cowen & Company.
Walter Pritchard: First, James, just on the segments it looked like R&D was a bit above and sales and marketing was a bit below in terms of where we were thinking expenses would come in. Just wondering with Enrique talking about a little more focus on organic development, should we expect that this level of R&D spending is somewhat of a baseline going forward?
James Beer: Well, as he mentioned earlier, we'll absolutely be targeting specific spend into some specific areas of R&D, in line with those priorities that he was laying out. But at the same time we are working hard to make more efficient the other elements of the R&D cost base. So it will be a mixture of those two themes going forward here.
Walter Pritchard: And Enrique, you talked about a few focus areas, mostly on the product side. I'm wondering if that has any bearing on the go-to-market strategy and if there is any meaningful change as you go into fiscal 2010 here given that you sharpened some of the focus on the product side?
Enrique Salem: I think when I look at the go-to-market side one of the things that I'm most pleased with right now is I have been spending a lot of time with our channel partners and what I see is there is a lot of enthusiasm for the new work flow technology that we shipped with our Altiris Client Management and Server Management suites. What it's enabling our partners to do is create their own intellectual property that they can then take back into their customer base. And the reason that is important for them is because they are really being able to price the "V" in value to our customers using the work flow technology. That I think is going to be meaningful, because as you know, given our renewed push in security and the efforts in the mid-market, partners are critical. And so I think the effect of the suites and the work flow technology will bring a lot of partners or bring a lot of enthusiasm for our partner community. At least that's the feedback that I'm getting right now. From an overall go-to-market, you know we are continuing to push our leadership around security and next-generation data protection so you can expect to see marketing pushing those campaigns, Stop Buying Storage! campaign, and we've also made some adjustments on the comp plan but overall it's pretty consistent year-to-year, with a little bit more emphasis on security as we go into fiscal year 2010.
Operator: Your next question comes from Tim Klassel - Thomas Weisel Partners.
Tim Klassel: Could you give us an idea of the impact you're having with the PC Tools acquisition and you know, that was a new segment of the market that you were going after. What's been the success there today?
Enrique Salem: What we're seeing with PC Tools is, you've got it exactly right, we're going after a couple of different target markets. One is a different segment so a more price-sensitive buyer, and two is emerging markets where quite frankly, they're looking for, probably again, more price-sensitive. We are pleased with the integration. That's been completed successfully. The leadership team, we've got a leader who is running that, somebody who has been a long-time Symantec employee, and I am pleased with the progress we've made. I expect to see that business continue to expand because there's a number of segments that I believe are price sensitive that we haven't yet tapped into and so I believe at this point that we've just started to see the initial possibilities of PC Tools and I think the dual-brand strategy is absolutely going to serve us well, especially when we think about markets like Asia, the market in China. And so from my perspective, that strategy is on track and I expect to see it perform even better as we go into fiscal 2010.
Operator: Your final question comes from Robert Breza - RBC Capital Markets.
Robert Breza: Enrique, in your comments you talked about netbook and the fact that it's more about the value of the information. I was wondering if you could tell us or help us understand quantitatively what you're seeing. Are you seeing the OEM adoption rates stay the same on netbooks? Or what gives you that confidence that netbooks won't hurt the consumer side?
Enrique Salem: Asus was the first one that we shipped. We are getting right now to the end of the trial period so we are starting to get a little bit of data and what we're doing is we're comparing the data that we get on the netbook or Mini lines, to the underlying adoption of the software for their non-netbook lines. And we don't have enough data yet to give you a conclusive answer but what I have seen is that absolutely prices in hardware have been dropping for the last ten years. And prices of our software, quite frankly, have increased over the last ten years, or at least over the last couple of years. We have been able to move people to Norton 360. So I think that clearly highlights the point that it's not the price of the hardware that matters, it's what you're doing. And when I talk to a lot of the manufacturers and they talk about the user scenarios, you know, kids potentially them to go online, people are very concerned about what the online usage is going to look like. And I think Norton Internet Security and Norton 360 will absolutely continue to do well in that lineup of netbooks and Minis.
Operator: That does conclude the Q&A session. At this time I would like to turn the call back over to Mr. Salem for closing remarks.
Enrique Salem: Well, thanks for attending today's earnings call. I'm excited about the opportunity to lead Symantec and moving forward our focus is on investments that will extend our leadership, improve product quality, and integrate our solutions to help customers secure and manage their information. As we continue to focus I want to make sure that we improve execution and drive operational efficiencies as many of you have commented, and I definitely look forward to spending time with you over the next couple of weeks and look forward to seeing you at our analyst day in June.
Operator: This concludes today’s conference call.